Operator: Good day, and thank you for standing by. Welcome to the NCS Multistage Q3 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Mike Morrison, CFO. Please go ahead.
Michael Morrison: Thank you, Stephen, and thank you for joining the NCS Multistage Third Quarter 2025 Conference Call. Our call today will be led by our CEO, Ryan Hummer, and I will also provide comments. I want to remind listeners that some of today's comments include forward-looking statements such as our financial guidance and comments regarding our future expectations for financial results and business operations. These statements are subject to many risks and uncertainties that could cause our actual results to differ materially from any expectation expressed herein. Please refer to our most recent annual report on Form 10-K and our latest SEC filings for risk factors and cautions regarding forward-looking statements. Our comments today, as well as the results of operations included in our earnings release, contain the following non-GAAP financial measures: EBITDA, adjusted EBITDA, adjusted EBITDA margin, adjusted EBITDA less share-based compensation, adjusted gross profit, adjusted gross margin, free cash flow, and free cash flow less distributions to noncontrolling interest and net working capital. These non-GAAP measures and reconciliations to the most comparable GAAP financial measures are provided in our third quarter earnings release, which can be found on our website, ncsmultistage.com. I will now turn the call over to Ryan.
Ryan Hummer: Thank you, Mike, and welcome to our investors, analysts, and employees who are joining our third quarter 2025 earnings conference call. Mike will discuss our quarterly financial results in more detail a bit later. I want to touch on a few highlights for the quarter and year-to-date, including our progress in integrating ResMetrix, the tracer diagnostics business that we acquired in late July 2025. NCS continues to perform well despite challenging market conditions. Our third-quarter revenue of $46.5 million exceeded the midpoint of our guided range, including the expected contribution from ResMetrix that was provided on our last earnings call. Revenue in the U.S. increased by 26% sequentially and 54% when compared to the same quarter last year. Importantly, excluding the contribution from ResMetrix, our U.S. revenue improved by 37% compared to the same quarter last year, with robust contributions from our fracturing services, fracturing systems, and tracer diagnostics product lines. Our revenue for the first 9 months of 2025 was $133 million, which is 13% or over $15 million higher than during the first 9 months of 2024, with higher revenue year-over-year from each of the U.S., Canada, and international markets. Our adjusted EBITDA of $17.5 million for the first 9 months of 2025 represents an increase of $3.4 million or 24% year-over-year. Importantly, we've generated $6.8 million in free cash flow after distributions to noncontrolling interest during the first 9 months of 2025, an improvement of $6.5 million compared to the same period of the prior year, and contributing to our cash balance, which exceeded $25 million as of September 30, 2025. We're growing in large part due to the continued progress in delivering on our strategic plan, which informs our organic growth initiatives and our new product development investments within a framework that maximizes financial flexibility and produces free cash flow. Our senior leadership team recently reaffirmed the core strategies we are implementing to create value for our stakeholders. Slide 14 of our investor presentation helps to illustrate our strategy with examples of our progress. The first core strategy is to build upon our leading market positions. These leading market positions include our unmatched expertise in our fracturing systems product line, our market share in Canadian completions, and the breadth and global presence of our tracer diagnostic service offerings, especially now that it includes ResMetrix. In Canada, our revenue has increased 9% for the first 9 months of the year compared to last year, despite a 6% decline in the average rig count, which we believe indicates the value that we bring to our customers. In addition, we've been able to grow our tracer diagnostics revenue year-over-year organically and through the ResMetrix acquisition, supporting customer projects in 8 countries around the globe. Our leadership in fracturing systems has led to exciting developments, including our successful 7-inch sliding sleeve offering and initiatives to expand our participation in higher temperature environments and to expand our offshore success into deeper waters. The second core strategy is to capitalize on high-margin growth opportunities worldwide. We continue to build on the success that we achieved in 2024, a year in which international revenue reached 10% of total revenue, an important milestone for NCS. The North Sea continues to be a success story for NCS internationally with our extensive track record and growing customer base. We've enjoyed strong collaboration with our customers, supporting technical papers and presentations, and hosting a workshop for current and potential customers in Stavanger. This workshop allows us to hear the voice of customers and to continuously improve by identifying efficiencies, which may expand the addressable market for our technology in the region. We've modified the scope of this strategy because we wanted to highlight certain markets in North America, such as Alaska and heavy oil, where we can provide differentiated solutions for our customers. We're excited about opportunities in these markets for current and future applications of our fracturing systems, enhanced recovery, and tracer diagnostics product lines. The third core strategy for NCS is to commercialize innovative solutions to complex customer challenges. We have internal objectives this year tied to field trials for new products and for successfully entering new markets in new regions. A few notable technology and market development highlights include that we'll be showcasing our Luminate multi-day composite sampling units at a customer location during the fourth quarter of 2025 to support a tracer diagnostics project. These units will improve sample quality and significantly reduce the number of visits required to the well sites during the sampling program. We are also manufacturing ATRS AICV sliding sleeves and proprietary packers for an upcoming 3-well customer installation. These systems are designed to help our customers optimize production in more mature wells, creating an opportunity to increase oil production while reducing water cut. Our development customer has identified a candidate well in the Gulf of America to deploy our deepwater fracturing system solution, with drilling expected to commence in the second half of 2026. We're working with the customer to advance the independent third-party review required by the regulator for this well. From a market development standpoint, Repeat Precision now has agreements in place to grow its business in the Middle East, as NCS has previously done with its well construction and tracer diagnostics product lines. Turning now to our recent acquisition of ResMetrix. We've been very pleased with the operational and financial performance of ResMetrix since the acquisition, as well as the progress made in integrating NCS' tracer diagnostics operations with the ResMetrix service offerings. Both the NCS and ResMetrix sales and operations teams began coordinating efforts soon after the announcement. I'll note a few of these early successes. ResMetrix utilized its portfolio of tracers tested for thermal stability on a well with NCS sliding Alaska sleeves in Canada. NCS's Canadian operations team supported the chemical importation and field deployment on the job. Tracer data will provide critical insight when paired with the production data from the well. NCS's lab in Tulsa can now run water tracer samples from ResMetrix jobs, helping to reduce the sample backlog and improve turnaround time for our customers. ResMetrix has sourced certain liquid water tracers from NCS's existing inventory, deferring the need to place orders from an overseas supplier in the current uncertain trade environment, including evolving tariff percentages. We've identified other cost savings by integrating ResMetrix into the existing NCS insurance policies and also our vehicle fleet management programs. So as I mentioned last quarter, we are taking a methodical approach to integration with several key milestones anticipated as we approach the new year. These early wins highlight the constructive and collaborative approach that the NCS and ResMetrix teams are taking to identify and implement best practices that support our people and our customers. I'm confident that our team will continue to deliver on the expected benefits of this strategic transaction. Before I turn it over to Mike, I want to provide an update on an ongoing legal matter in Canada. I'm pleased to announce that last week, the Federal Court of Appeal in Canada overturned a prior judgment against NCS, setting aside a finding of infringement against NCS and confirming that an award of cost reimbursements that were previously paid by NCS to the counterparty was excessive. The matter has been remanded back to the trial court for reconsideration, which will review the validity of the counterparty's patent in consideration of the appellate court's findings. Mike will now review our results for the third quarter and provide our guidance for the fourth quarter.
Michael Morrison: Thank you, Ryan. As reported in yesterday's earnings release, our third quarter revenues were $46.5 million, a 6% year-over-year improvement and above the midpoint of our guidance range, which includes the contribution of ResMetrix since the date of acquisition on July 31, 2025. Excluding ResMetrix, our revenues were slightly up for the quarter, with U.S. and international revenues increasing by 37% and 38%, respectively, with increased fracturing system sales domestically and in the North Sea and wellbore construction sales in the Middle East. These revenue increases were partially offset by a 19% decline in Canada, reflecting a general slowdown in activity levels and lower rig counts. Sequentially, our quarterly revenues increased 28% with a 32% increase in Canada, reflecting normal seasonality associated with the second quarter spring breakup. Our U.S. revenues increased 26% and our international revenues increased 16%. Our adjusted gross profit, defined as total revenues less total cost of sales, excluding depreciation and amortization expense, was $19.4 million for the third quarter or an adjusted gross margin of 42%, consistent with 1 year ago. Selling, general, and administrative costs were $14.8 million for the third quarter, up $700,000 compared to the same period last year, due to an increase in expense associated with cash-settled stock awards that are remeasured at the balance sheet date based on the price of our common stock. Other income was $1.2 million for the third quarter and related primarily to royalty income from licensing our intellectual property. Net income for the third quarter was $3.8 million or diluted earnings per share of $1.37 compared to $4.1 million or diluted earnings per share of $1.60 for the third quarter last year. Our adjusted EBITDA of $7 million for the quarter exceeded the midpoint of our guidance range and included the contribution of ResMetrix. Now turning to the balance sheet and an overview of our cash position and cash flows. As of September 30, NCS was in a positive net cash position with cash on hand at $25.3 million and total debt of $7.4 million, consisting entirely of finance lease obligations. The borrowing base availability under our undrawn ABL facility was $19.4 million, and our total liquidity was $44.7 million, including cash on hand and this borrowing base availability. For the first 9 months of 2025, cash from operations improved by approximately $7 million, and free cash flow, less distributions to noncontrolling interest, improved by over $6 million each compared to the same period in 2024. Now turning to a few points of guidance for the fourth quarter. We currently expect fourth quarter total revenue in the range of $41 million to $45 million. We expect Canadian revenue in the range of $23 million to $25 million, U.S. revenue, including RSMetris, of $15 million to $16 million, and international revenue of $3 million to $4 million. We expect our adjusted gross margin to range from 40% to 42% and our adjusted EBITDA to range from $5 million to $6.5 million. Our fourth quarter depreciation and amortization expense is projected to be approximately $1.6 million. With that, I'll hand it back to Ryan to discuss our 2025 full-year guidance and for closing remarks.
Ryan Hummer: Thank you, Mike. So as we've discussed, NCS performed well during the first 9 months of 2025. We remain a bit cautious as we move into the fourth quarter, as market and industry conditions continue to be challenging with a stagnating U.S. rig count, double-digit year-over-year activity declines in Canada, and continued delays in the timing of unconventional jobs in Saudi Arabia. There's also potential for an oversupplied oil market due to increased OPEC+ oil supply and ongoing uncertainties related to tariffs and trade. But given that backdrop and the comments Mike just provided, our expectation for annual revenue for NCS for 2025 is $174 million to $178 million, which represents year-over-year growth of 8%. Of this, 5% would be organic, and 3% would be contributed from ResMetrix. We're narrowing our pro forma combined adjusted EBITDA range to $22.5 million to $24 million with a midpoint of $23.25 million. While the midpoint of this range is slightly below our guidance from last quarter, it includes nearly $1 million in additional expenses related to our cash-settled stock awards for Q3 and Q4, as Mike described earlier. We're increasing our expectation for free cash flow after distributions to our noncontrolling interest and excluding the cash paid for ResMetrix to $11 million to $13 million this year, further strengthening our robust balance sheet. This represents an increase of $3 million at the midpoint and reflects our expectation of more favorable working capital balances and additional free cash flow contributed by ResMetrix. Before we open the call up for questions, I'll close with a couple of brief comments. We continue to deliver on our core strategies through organic growth and technological development designed to generate value for our stakeholders. We have the infrastructure in place to support revenue growth in each of our geographic markets, providing leverage to grow future earnings. We're benefiting from the successful introduction of new solutions that meet the needs of our customers, adding to our portfolio and also expanding our addressable market. We've identified synergies through the ResMetrix integration, and we expect to identify more benefits as we work towards full integration by early next year. We maintain a strong balance sheet and a strong liquidity position with total liquidity, including availability under our revolver of approximately $45 million. We are efficiently converting our adjusted EBITDA to free cash flow, with midpoint free cash flow after distributions to noncontrolling interest of $12 million this year. As of yesterday, this would represent a free cash flow yield of 11% to our market capitalization. And with that, Stephen, we'd welcome any questions.
Operator: [Operator Instructions] Our first question comes from the line of Colby Sasso of Daniel Energy Partners.
Colby Sasso: It sounds like your integration of ResMetrix is going really well. And the rationale behind the deal was to expand the tracer diagnostics footprint in the Middle East. What does the opportunity set look like going forward and in 2026?
Ryan Hummer: Yes. Thanks, Colby. Thanks for joining. Appreciate the question. So yes, look, I think what ResMetrix brought to us in the Middle East was certainly one part of the rationale for the deal. Just by way of background, we've had existing operations on the NCS side, tracer diagnostic operations in the Middle East for several years, but it really started to scale that up over the course of 2024 and 2025, primarily in Oman and Saudi Arabia. And what ResMetrix brought was some long-term contracts to participate in a couple of additional markets, including in the Emirates and in Kuwait. So it really helped to broaden our portfolio in the region and the way that we serve customers over there. So we continue to participate in that work, but I think there are a number of other compelling benefits to the ResMetrix acquisition beyond just that Middle East presence, but that was certainly something that was attractive to us as part of the evaluation of that transaction.
Colby Sasso: Then, just as a second follow-up question, free cash flow has been up handily year-over-year. And if we assume flattish growth in '26, would you expect similar free cash flow next year? And what does that profile look like?
Ryan Hummer: Yes, it's a really good question. And I think the way we frame things up typically is thinking through how we convert our adjusted EBITDA to free cash flow. And the way you framed it is actually a good way to frame it. So in a flat environment, where we're not really investing in working capital or drawing down working capital, we think we can typically convert something on the order of 50% to 60% of our adjusted EBITDA to free cash flow. And that's really about what you're seeing this year with that 60% free cash flow guidance at the midpoint. And I will note that when we're talking about free cash flow in that context, we're talking about it after the distributions to our noncontrolling interest. So it's really the free cash flow; the equity is the way to think about that.
Operator: Our next question comes from the line of Dave Storms from Stonegate.
David Joseph Storms: Just wanted to circle back to ResMetris here for a minute. It was mentioned that maybe the integration is a little ahead of schedule. Could you spend a little more time talking about how much time is left to fully integrate? And maybe if you think it was mentioned last quarter, the $1 million to $2 million in synergies could be implied if you think that's still a potential?
Ryan Hummer: Yes. So maybe 2 things there. One is, I think, the integration is progressing along the timeline that we had expected as far as really doing the work to align processes, arrive at best practices, and be in a position to implement those. Because I think, as we discussed, we were head-to-head competitors in the market doing the same thing, but doing everything a little bit differently from the way that we source chemicals, the way we deploy them in the field, the way we take samples, the way we prep them in the lab, and deliver reports to customers. So with that, we will continue to be methodical, but believe that by early next year, we will have really aligned all of those practices and be in a position to go out to the customer and to the market in an integrated way. What we've seen, however, is though, we're not waiting for that official integration to take place to find ways to work together and deliver some of those wins. And some of that's coming in ahead of schedule. So with respect to the overall kind of synergy opportunity for the deal, I think we're still confident that if you think about ResMetrix being about $10 million of annual revenue, the NCS tracer business ex-ResMetrix having been in the high teens. So you're talking about a $25 million to $30 million revenue base. Being able to get about 5 percentage points of benefit across that translates to, call it, $1.5 million of synergies at the midpoint, a mix of some on the SG&A side. But really, most of it is on the cost of sales side, and being able to more efficiently deploy the chemical portfolios should yield really good savings for us and savings that contribute not only to earnings, but also help to bolster that free cash flow profile of the company.
David Joseph Storms: Then I wanted to ask a follow-up question about the North Sea. I know it tends to be more project by project. Do you have any updates on maybe what that pipeline looks like going into 2026? And then additionally, you mentioned some new products like the Science La that you're going to be putting, maybe, into the Gulf of America as a test. Will those new products give you any advantage in the North Sea as well?
Ryan Hummer: Sure. I'll try to take those one at a time. So yes, the North Sea continues to be a really good market for us. I think when we spoke last quarter, we had talked about the number of customers that we would have worked for in 2025. And the North Sea tends to be a bit more seasonal from an operations standpoint when vessels can get out there to service the work, as you approach the winter time, the seas get higher, and the operational window closes a bit. But we do have a number of orders in hand from customers in the North Sea for slotting sleeves that will be installed for next year and are expected to be used in projects next year. So I would expect our activity in the North Sea next year to be at least as robust as it was here in 2025, just based on what we're able to see at this point. The project for the Gulf of America, we've talked about that before. It was a relatively long development project where we had some sponsorship from a customer, and that customer is the one who identified the target well for us. And that involves what we call our Ratek PropX system for deepwater applications. It's a sliding sleeve that has integrated into it the ability to put the sleeve in a screen position after the frac. So the first deployment will certainly be in the Gulf of America, but that should have application in other deepwater markets worldwide. What I will say, though, is that those types of developments, especially as you move to deepwater, tend to be longer sales cycles, longer lead times. And while this particular system was developed with a single customer in mind, we think it has applicability for other customers, but other customers will want to do their own testing and potentially see some slight modifications before it gets deployed elsewhere. So we're bullish about it long term. And actually, the deepwater North Sea is a market that could be applicable to. So it could help to give us a little bit more opportunity in the North Sea in that medium- to long-term time frame.
Operator: [Operator Instructions] Our next question comes from the line of Gowshi Sri of Singular Research.
Gowshihan Sriharan: Given the weakness in the Canadian rigs, are you seeing any changes in customer strategies that would alter your margin math for next year? Or if you could give us some color on what kind of levers you'll be pulling to defend those margins.
Ryan Hummer: Sure. Yes. I think we're right now in budget season within our customer base. There are some customers who have put out preliminary budgets for next year, but many still haven't at this point. But just to maybe take a step back, the Canadian rig count was relatively flat to maybe even a little bit up year-over-year through the first half of the year. But as we came out of the breakup in the third quarter, I think we were down, call it, 15%-ish on a year-over-year basis, and that's continued here into the fourth quarter. So there certainly has been a pullback in activity in the Canadian market. Some of that had to do with local gas pricing. The AECO gas market was at very low levels for the late summer and early fall. We think there's a chance that it reverses itself. It's already recovered, but it reverses itself a bit more durably, especially as LNG Canada comes on and keeps taking more gas. So right now, the budgets that we've seen announced from customers speak to more or less flat year-over-year CapEx, not material reductions. If we do start seeing reductions in capital activity in Canada, we'll certainly look to take some actions in response to that. But the other thing I'd say is that we've historically had really good success in continuing to grow our market share in Canada over time. And we've been really successful in a couple of markets up there in growing our presence, including parts of the Montney that are really focused more on light oil and condensate. And we're continuing to grow our share with products even outside of our fracturing systems business, growing our share with plug and perf through repeat precision products in Canada, and bringing on additional well construction opportunities. So, big picture, I think we can continue to take share and grow revenue in a way that would outpace the market in Canada. But as it is the biggest revenue component of our business, if there are changes in that market, we'll definitely adapt to them. And if we need to, we'll adapt our cost structure as well.
Gowshihan Sriharan: And in this quarter, was the pressure mainly volume-driven? Or was there some component of price? Do you expect any pressure on that end as you try to gain market share?
Ryan Hummer: It's really been volume at this point. Customers will always work with service companies to try to reduce prices. It's an ongoing game of cat and mouse. But I think what I'd say is we're comfortable and confident in the value that we deliver to our customers and enable them to achieve some pretty interesting production results. So yes, pricing pressure is always a challenge, whether it comes from customers or whether it comes from competitors, but we've got a good pricing strategy in place. And again, we're really leaning into the value that we provide to our customers and not trying to chase after work based on price.
Gowshihan Sriharan: And on the tracer diagnostics and ResMetrics contribution, I think you've indicated that most of it is predominantly lumpy, but there is a recurring revenue base that is growing. As we look towards these international markets, can you give us some color on the competitive space that is and how much upside there is to the recurring revenue base?
Ryan Hummer: Yes. I mean, we certainly have recurring customer relationships and projects with customers. We don't have what you would call a backlog that really gets established through those. There is a little bit of an exception with some of the longer-term contracts that ResMetrix brought to the table in the Emirates and with Kuwait, where it's multiyear. But even with those, it tends to be project by project that gets called off from those frameworks. So I'd say, look, big picture international continues to be a strong opportunity for continued growth at NCS for tracer diagnostics and for our other product lines. I think we have a pretty good line of sight and communication with our customers to understand their activity and expect to continue to work with them over the course of those ongoing programs. But I think to call it true recurring revenue, and that would be under a backlog or something like that, is maybe a little bit of a mischaracterization. But again, with the relationships and the history that we have, what we've established through the value of the reports that we provide to our customers, we expect a good growth profile internationally as a result.
Gowshihan Sriharan: In the competitive environment in these markets, what does that look like?
Ryan Hummer: It's different market by market because there's a process to get qualified in most cases. In the Middle East, in particular, it's the national oil company. So Saudi is the biggest market and probably the most competitive as a result. The other markets are very attractive. So you'll see competition when tenders come up. You're always going to see that. But I think, as we've discussed with the tracer diagnostics business in the past, compared to some of the other product lines that we are in, there are a handful of global competitors in tracer diagnostics, whereas in fracturing systems or for well construction, there tend to be more competitors. So it tends to be pretty well behaved from a competitive standpoint. And again, really, we rely on the value we provide, and that value is manifested in the reports and the insights that we deliver to our customers.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Ryan Hammer, CEO, for closing remarks.
Ryan Hummer: On behalf of our management team and our Board, we'd like to thank everyone for joining the call today, including our shareholders, analysts, and especially our employees. I truly appreciate the tremendous work and dedication demonstrated by our team as we implement our long-term strategies. Our exceptional people continually demonstrate why I believe we have the best team in the industry. Team continues to provide excellent service to our customers while developing new products and services that will enable our customers and NCS to be even more successful. We appreciate everyone's interest in NCS Multistage and look forward to talking again on our next quarterly earnings call.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.